Operator: Good day, and welcome to the Philip Morris International Fourth Quarter 2010 and Year End Earnings Conference Call. Today’s call is scheduled to last about one hour including remarks by Philip Morris International management and the question-and-answer session. (Operator instructions) Media representatives on the call will also be invited to ask questions at the conclusion of questions from the investment community. I’ll now turn the call over to Mr. Nick Rolli, Vice President of Investor Relations and Financial Communications. Please go ahead, sir.
Nick Rolli: Welcome. Thank you for joining us. Earlier today, we issued a news release containing detailed information on our 2010 Full-Year and Fourth-Quarter results. You may access the release on our Web site at www.pmi.com. During our call today, we’ll be talking about results for the full-year or fourth-quarter 2010 and comparing them with the same period in 2009 unless otherwise stated. References to volumes are for PMI shipments. Industry volume and market shares are the latest data available from a number of internal and external sources. Organic volume refers to volume excluding acquisitions, which for the purposes of this presentation also include our business combination with Fortune Tobacco Corporation in the Philippines. Net revenues exclude excise taxes. Operating company income is defined as operating income before general corporate expenses and the amortization of intangibles. You will find data table showing how we made adjustments to net revenues and operating companies income or OCI for currency, acquisitions, asset impairment, exit, and other costs, free cash flow calculations, and adjustments to earnings per share or EPS, as well as reconciliations to U.S. GAAP measures at the end of today’s webcast slides, which are posted on our Web site. Today’s remarks contain forward-looking statements and projections of future results and I direct your attention to the forward-looking and cautionary statements disclosure in today’s presentation and news release for a review of the various factors that could cause actual results to differ materially from projections. It’s now my pleasure to introduce Louie Camilleri, Chairman and Chief Executive Officer and Hermann Waldemer, Chief Financial Officer, who will join Louie for the question-and-answer period. Louie?
Louie Camilleri: Thank you, Nick, and good afternoon, ladies and gentlemen. With much of the developed world still grappling with suddenly high employment levels, debilitating the heavy debt burdens, and bleak budget deficits, we posted what I’d characterize as a solid financial performance in 2010. Unprecedented excise tax hikes, affecting six markets in particular, coupled with continued economic uncertainty, spurred double-digit declines in industry volumes, further consumer down trading, a more pronounced patterns of heightened price competition, and a surge in the incidence of illicit trade in those countries. Regretfully, these factors adversely affected our organic volume performance. However, despite these challenges, we posted robust increases in our earnings per share and cash flow. Importantly, we outperformed our international competitors in terms of organic volume and market share growth. The strategic highlight of the year was the highly promising transaction with Fortune Tobacco in the Philippines. This not only widened our share leadership in Asia, but I’m sure will be a source of solid income growth for years to come. Our cigarette volume rose 4.1% in 2010 to reach a level of nearly 900 billion units. Absent the creation of PMFPC [ph] in the Philippines, our organic volume fell short of the prior year by 2.5%. Shortfall is virtually entirely attributable to significant declines in industry volumes, affecting Greece, Japan, Pakistan, Spain, Turkey, and Ukraine. Indeed, absent these six markets, which collectively suffered a volume erosion of some 14%, our volume performance in all other markets representing close to 80% of our volume base grew at an organic rate of 1%. While the headline organic volume number in the fourth-quarter points to a deterioration in our performance relative to the full-year, this was entirely attributable to Japan and Ukraine, which suffered volume shortfalls of 43% and 35% respectively. Absent these two markets, our fourth-quarter organic volume performance was essentially equal to that of the full-year. Our market share performance despite the challenges we face was solid. Indeed, our total worldwide share excluding China and the USA, but including the business combination with Fortune Tobacco on a pro forma basis rose to 27.9% for the full-year and 28.1% in the fourth-quarter. We grew share in both OECD and non-OECD markets while exhibiting sequential improvements and hence momentum in both geographies. We also grew share in our 30 most profitable markets. While our aggregate share performance was solid and broad-based, we did suffer erosion in several markets, notably, in Germany, Greece, Turkey and Ukraine. Steps have recently been taken or are planned in all four markets to address the shortcomings. Marlboro share momentum improved as the year unfolded despite the challenging economic environment. This is testament to the success and continued disciplined deployment of the brand’s new architecture. In virtually all instances, we’re witnessing improvements in the brands key image attributes and demographic profile, particularly, in regards to the Gold’s pillar. Marlboro’s performance in Asia was singularly robust behind the continued success of several entries focused on the fresh pillar, such as Black Menthol and Ice Blast. Marlboro’s momentum is confirmed by its six-month moving share trend shown on the chart. L&M remains a two-pronged story. It continues to grow and is highly successful in the European Union region, but also continues to shed volume and share in Eastern Europe, and particularly, in Russia. Plans are in place to strive to correct this. Net revenues of $27.2 billion were up 8.7% for the full-year and 4.8% for the quarter. While on an organic basis, that is excluding the impact of currency and acquisitions, they rose 3.4% and 2.8% respectively. This fell short of our mid- to long-term objective reflecting the volume and mix erosion in the previously mentioned countries, due to the abnormal excise tax increases that adversely affected each of them. Adjusted company’s operating income of $11.5 billion rose 10.3% for the full-year and 12.2% for the quarter. On an organic basis, the increase was 5.8% for the full-year and a robust 9.9% in the fourth-quarter. Not surprisingly, pricing was the key driver of our income growth, with a particularly strong delivery in the fourth-quarter. Our full-year pricing variance approached $1.7 billion. Of which close to $600 million or 35% was recorded in the fourth-quarter. I trust that these numbers will reinforce the belief that our pricing power despite a very challenging economic environment remains intact. I should highlight that the fourth-quarter pricing variance was flattered by the price increase we obtained on the inventory held by our Japanese distributor on October 1. This accounted for approximately 20% of the total pricing variance in the quarter. We’re very pleased with the progress across all regions of our adjusted operating margins, excluding currency and acquisitions. For the full-year, on a worldwide basis, they reached 42.6%, up 0.9 points. This reflects both our strong pricing and our continued efforts to generate productivity gains and cost savings, as we completed our three-year $1.5 billion program. Our earnings per share performance was singularly robust, exceeding our mid- to long-term target for the third year in succession. Adjusted diluted earnings per share of $3.87 for the full-year and $0.97 for the quarter rose 17.6% and 19.8%, respectively. Excluding the favorable impact of currency of $0.12 for the year and $0.01 for the quarter, earnings per share rose 14% in 2010 and 18.5% in the fourth-quarter. As strong as our earnings per share performance was, it was surpassed by that of our cash flow. Indeed, our free cash flow rose by some $1.6 billion or 21.7% on a currency neutral basis to a record level of $8.7 billion. This performance was due in large part to the strict management of our working capital, and in particular, a reduction in our receivables and inventories, reflecting our efforts to optimize our supply chain. Our ability to generate strong and predictable cash flows is a hallmark of our company. You may recall that at the time of our spin-off in March 2008, we set a three year cumulative operating cash flow target of $21.7 billion. Fast forward to today and we have handsomely exceeded that target by $3.5 billion or 16% to reach a cumulative operating cash flow of $25.2 billion and this despite an adverse currency impact of some $500 million. Our strong and growing cash flow has underpinned our ability to reward our shareholders through higher dividends and our share repurchase programs. We have increased our dividends by a cumulative total of 39.1% since the spin. By the end of December 2010 had repurchased 334 million shares or 15.8% of the shares outstanding at the time of the spin at an average price of $47.83. While I cannot deny that 2010 was a tough year in many respects, we’re able to overcome most of the significant roadblocks that were erected in our path. Our earnings per share and cash flow results were quite exceptional given the economic challenges that have yet to be profoundly resolved primarily in the western world. It is against this fragile economic backdrop that we look to 2011. As disclosed in our earnings statement released this morning, we project another strong year in our key financial metrics with reported diluted earnings per share guidance falling within a range of $4.35 to $4.45 versus $3.92 in 2010. On an adjusted basis compared to $3.87 in 2010, this corresponds to an increase of approximately 12.5% to 15% at prevailing exchange rates, and approximately 10% to 12.5% on a constant currency basis. We believe that our guidance appropriately reflects a cautious balance of the risks and opportunities that always accompany any projections made this early in the year. I should also highlight that this guidance assumes an underlying effective tax rate that is expected to be some 70 basis points higher than that incurred in 2010. The key risk to our earnings projection is a potential for disruptive excise tax increases and adverse movements in the structure thereof as we painfully witnessed in 2010. While last year we faced an unprecedented number of countries that turned to tobacco to generate additional revenues by raising excise taxes to levels that went beyond any reasonable expectation, so far this year the news on excise taxes is with one key exception relatively benign. The one exception is, of course, Mexico with the average excise tax burden was increased on January 1 by 50% in one fell swoop. Elsewhere, other than the adverse impact of the annualization of 2010 increases, the excise tax increases that have been announced appear to be manageable. Furthermore, and very importantly we have witnessed a number of encouraging structural changes driven in large measure by the new excise tax directive in the European Union. Indeed France, the Netherlands, Sweden, have all increased their specific to total tax ratios, and Greece has significantly improved its tax structure. In addition in Germany, we have a new tax law that provides for reasonable increases and visibility over a five-year period. Unemployment remains persistently high in numerous countries and continues to affect both industry volumes and mix. In addition, inflation particularly as it relates to basic food commodities remains a concern relative to consumer discretionary income levels in numerous markets. Furthermore, recent events in North Africa are likely to impact our performance, and we can only hope that this will be a temporary phenomenon. In light of these dynamics, we expect our organic volume performance to mirror that recorded in 2010. Japan and Mexico will dampen our volume prospects in 2011, and given the economic uncertainty, we continue to project volume softness in Greece, Pakistan, Spain, and Ukraine. Also, we project a slightly weaker volume trend in both France and Italy reflecting retail price increases ahead of inflation. Elsewhere, we anticipate a solid volume performance led by Indonesia, Korea, and Russia as well as a projected recovery in Turkey. The outcome of volume impact of the tax driven price increase in Japan remains the single largest question mark. It will also affect our quarterly volume performance in a significant manner with pronounced weakness in the first half and gradual but consistent improvement in the second half. While it is too early to gauge precise volume trends, January sales were modestly better than we had originally anticipated. Accordingly, the assumptions for Japan on which our earnings guidance is predicated, may prove to be somewhat overly cautious. Given our share momentum and the initiatives we have planned, we anticipate another year of solid market share performance. Persistently high unemployment levels will continue to exert pressure on the premium segment in some markets, but we believe that in most instances, we could more than offset this dynamic given the breadth of our brand portfolio. Pricing will continue to be the key driver of our income growth. We project a price variance exceeding that recorded in 2010, driven in part by the price increase in Japan. Indeed, more than 60% of the pricing embedded in our 2011 guidance has already been announced or implemented. We anticipate some cost pressure driven in large measure by the historical leaf tobacco price increases that will continue to affect our product cost in 2011, the more expensive materials in packaging associated with the Marlboro architecture and other premium brand offerings as well as the cost associated with the implementation of reduced cigarette ignition propensity rules in the European Union in the fourth-quarter. We will implement a number of productivity and cost reduction initiatives during the year and we have a set a target of pre-tax cost savings of $250 million in 2011. Finally, we anticipate another strong cash flow performance and share repurchases of $5 billion in 2011, in line with the level dispersed in 2010. All in all, 2010 proved to be a difficult year, but we posted results that compared very favorably to our consumer product peers. We entered 2011 with clear momentum and exciting plans. The so called two-speed recovery remains fragile, but we look forward to the year with cautious optimism. There is likely to be continued volatility in currency markets and other uncertainties, but we have the human and financial resources as well as numerous plans initiatives to sustain our momentum and post another year of solid growth. Hermann and I will now be happy to answer your questions.
Operator: Thank you. (Operator instructions) Our first question comes from Judy Hong of Goldman Sachs.
Judy Hong – Goldman Sachs: Thanks. Good afternoon.
Louie Camilleri: Good afternoon, Judy.
Judy Hong – Goldman Sachs: Louie, the first question related to the 2011 organic volume outlook. It looks like you are looking for the decline to really no longer moderate versus I think a couple of months ago you were thinking that that maybe volume decline could moderate as you look out 2011. So I’m just wondering what’s really change in terms of volume outlook now being a little bit bolster than two months ago?
Louie Camilleri: Not much I can add to what I said in my remarks, Judy. The economic recovery is somewhat uncertain still. Unemployment remains persistently high in a lot of places. North Africa recently has been an issue for us. Tunisia is now essentially back to normal, but Egypt, obviously, things are essentially at a standstill at the moment, Japan volume, as I’ve said in my remarks, that could be a potential upside, but frankly, it’s too early to say that today.
Judy Hong – Goldman Sachs: What are you assuming in Japan, just to clarify?
Louie Camilleri: We’re essentially consistent with what we said all along which is on an annualized basis, as of October 1, we see volume decline of about 20%. Now, as I said, the quarterly volume shift will be quite significant. I mean, we’ll see a weak first-quarter, a very weak second-quarter because of difficult comparison. Third-quarter should be okay and the fourth-quarter should obviously be very strong in terms of volume.
Judy Hong – Goldman Sachs: Okay. And then in terms of the profitability impact, because I look at the Asia region in the fourth-quarter, you obviously had a very strong growth. Some of that was the revaluation of the inventory in Japan at higher prices, but even you exclude that, you had a pretty healthy operating profit growth, presumably, because you’ve seen the benefit of the pricing in that market and even with the volume down 40% plus in Japan, so if we assume that volume decline is about 20% for 2011 in Japan, wouldn’t the profitability or profit growth impact in 2011 be much better than what you actually saw in the fourth-quarter?
Louie Camilleri: In terms of Japan itself.
Judy Hong – Goldman Sachs: Well, I think I’m trying to understand what happened in the fourth-quarter from Asia region profit growth perspective and then find (inaudible) how that impacts 2011, if we assume Japan is down 20% or so?
Louie Camilleri: Well, let’s go through it. Yes, Japan was flattered by the pricing on the inventory, and the pricing of the small amount of volume that we actually shipped. However, that was essentially a wash with the volume hit in the fourth-quarter. So what you’re seeing in Asia is a very strong performance in a lot of other markets, principally, driven by Indonesia, the Philippines, Korea, and various other markets. I mean Asia is doing extremely well and will continue to do well.
Judy Hong – Goldman Sachs: Okay. And then just in terms of share buyback, it seems like you’re accelerating the pace of the buyback this year. I’m just wondering if you can just speak through whether at this point you’re looking at finishing the current program sooner, and then is that a factor in terms of the tax rate going up in 2011?
Louie Camilleri: No. It has nothing to do with the tax per se, but listen, we had a $12 billion three-year program, which annualized it should be $4 billion a year. We met our working capital objective well ahead of plan, and therefore we decided already last year to increase our share repurchases from $4 billion to $5 billion, and this year we believe that given our earnings prospects and cash flow prospects, we can also repeat that performance and go for $5 billion. I think it’s consistent with our views that we should reward shareholders, both in terms of dividends and share repurchases to the extent that we can. And as our results come in strong, that’s what we’re going to do.
Judy Hong – Goldman Sachs: Okay, thanks.
Operator: Your next question comes from David Adelman of Morgan Stanley.
David Adelman – Morgan Stanley: Good afternoon.
Louie Camilleri: David, good afternoon.
David Adelman – Morgan Stanley: Louie, this is a follow-up in Asia, have you implemented any price increases in the Philippines since the business combination closed?
Louie Camilleri: Yes, we have. We increased prices last August and we just increased prices again.
David Adelman – Morgan Stanley: Okay. Secondly, although it’s a very long tail dynamic, are there any milestones you hope to hit that you could call out during 2011 either with respect to the Chinese joint ventures or your efforts with respect to a reduced risk product?
Louie Camilleri: In terms of 2011, that’s possibly early, David. Our relations with CNTC in China continue to be excellent. The joint venture brands are doing well. Marlboro, although very small, continues to grow in China. There have been great efforts on the part of CNTC to enhance distribution throughout China. I think the relationship is excellent and consistently improves. But as I’ve said, all along, it’s kind of take some time and I don’t think there are specific milestones in 2011. Now, in terms of next-generation products, we have and continue to make progress, and we’ll be taking certain initiatives this year. But to come out with specific milestones this year is a bit early still, David. As you know, I have always linked the two together. I think material entry into China is somewhat dependent on the existence of next generation products.
David Adelman – Morgan Stanley: Okay. Louie, and then lastly, can you give us a general sense in the four markets you called out where you’re not pleased with your market share performance, the types of tactics that you intend to employ?
Louie Camilleri: Well, yes, let’s go one by one. As you’re probably aware in Germany, where Marlboro has suffered partially offset by the continued growth of L&M, which is the fastest growing brand in Germany, and has the best demographic age profile today, followed by Marlboro. A lot of the market has shifted to what I call big packs and maxi packs. So, big packs are 24, 25 cigarettes a pack versus the traditional 19s and there’s been a proliferation of now maxi packs, which are 28 cigarettes or 29 cigarettes a pack. Both big packs and maxi packs sell at a considerable discount to the conventional packaging of 19 cigarettes. Marlboro was at a competitive disadvantage because we were somewhat slow to react with the maxi pack in particular. So in the fourth-quarter, we launched Marlboro Maxi Pack. It does not offer the same discount as its competitors, but still does offer some discount and we actually saw an improvement in Marlboro’s performance in the fourth-quarter, so that will continue. The other thing to note is, as I mentioned in my remarks, we now have visibility on excise taxes. There’s an excise tax increase due from May 1. The structure is pretty good. At the low end the tax passengers on is €0.13 a pack. At the premium end it’s €0.04 a pack. So that’s pretty good news. So Germany, L&M in great shape. Marlboro is now competitive with the advent of Maxi Packs and let’s see how things proceed. In Turkey, we were at a significant price disadvantage because we let prices at the time of the tax increase, which you may recall was significant and not everybody followed to the extent that we had led. That put us at a pretty significant competitive disadvantage, especially with the significant down trading that took place and the surge in illicit trade that accompanied the tax increase. Today, some 20% of cigarette consumption in Turkey is illicit trade. We have tried to convince the government to restructure their taxes. So far there hasn’t been much progress on that front, but we continue to be cautiously optimistic that overtime it will realize that it’s in their interest. We repositioned L&M in the fourth-quarter and in fact, our share grew in the fourth-quarter in Turkey. That’s why I mentioned we anticipate a recovery in Turkey. In Greece, the tax structure has improved significantly with the tax reform. As you know, Greece has been a drag on the whole European Union volume and income. They remained a 3% drag for the year in terms of the EU’s growth. I think there is just being with the tax restructuring and price increase across the board and we’re confident that Greece will no longer be a drag and that we can continue to gain share. Ukraine, essentially, what you’ve seen is that over the last couple of years there have been huge successive excise tax increases. Such that in a two-year period the low price segment has tripled in retail prices and the premium segment has doubled. So today at the low ends, brand such as Bond Street, their retail price is equivalent to what the price of Polymer [ph] was two years ago. What has happened is that the market has compressed into the premium segment and the low price segment and the mid price segment is under huge pressure. In fact, we’re doing very well in the premium segment, and we lost in the mid segment and the low price segment and we have plans in place to address that. Does that cover your question, David?
David Adelman – Morgan Stanley: Very much. Thank you, Louie.
Louie Camilleri: Thank you.
Operator: Your next question comes from Christine Farkas of Bank of America-Merrill Lynch.
Christine Farkas – Bank of America-Merrill Lynch: Thank you very much. A couple of questions, Louie, if I could, your comments about pricing in 2011 being stronger or anticipated to be stronger than in 2010, is that comment meant to exclude the Japanese revaluation of the inventory, so maybe six points or seven points of price variance?
Louie Camilleri: No. That obviously include six [ph] because our price variance in 2010 was approaching $1.7 billion, and in my remarks I’ve said that our pricing in this year would exceed that $l.7 billion.
Christine Farkas – Bank of America-Merrill Lynch: Okay. So that’s all in. A question on Turkey, if I could, given we are now cycling, I believe the sharp tax increases from a year ago here in the first quarter, are you seeing a return to more normal demand patterns at all?
Louie Camilleri: We’re definitely seeing an improvement in trends. Watch out, Christine, is what I mentioned earlier, which is the surge in illicit trade, and I think the government is very focused on that, but it is a concern.
Christine Farkas – Bank of America-Merrill Lynch: Okay, great. And then finally, with respect to the EU, can you just comment broadly and I suppose ignoring some of those countries with specific factors, but can you talk about the pace of a trade up or trade down and how you are seeing that progress perhaps in light of Marlboro and L&M across your major EU markets?
Louie Camilleri: It sort of varies by market. It’s difficult to generalize for the whole European Union, Christine. I think I could safely say that we’ve seen a slight improvement in the trends, certainly in the fourth-quarter versus the nine months. We’ve various actions in place. Marlboro grew share in Spain in the fourth-quarter, which was pretty significant. Marlboro continues to do well in Italy. It’s been somewhat soft in France, but that been offset by Philip Morris, which is also a premium brand. Germany, I think I’ve described in considerable detail. We’ve done well in Netherlands particularly, and in the Benelux, but Netherlands, in particular. There has just been a price tax increase. And I’d say that we’re witnessing in a number of places a few pricing skirmishes. Nothing all too dramatic but things are heating up on the pricing front with certain companies repositioning their brands. As I said, I don’t think it’s too alarming, but there have been a number of price skirmishes, particularly, in the European Union and Central Europe areas.
Christine Farkas – Bank of America-Merrill Lynch: Okay, great, thank you very much.
Louie Camilleri: Thank you, Christine.
Operator: Your next question comes from Chris Growe of Stifel Nicolaus.
Chris Growe – Stifel Nicolaus: Hi, good afternoon.
Louie Camilleri: Hi, Chris.
Chris Growe – Stifel Nicolaus: I had just a follow-up on the price skirmishes, particularly, in the EU with the tax structure changing there, I guess what I’m asking is, is it related to the removal of the minimum excise tax, or is it something beyond that? Was it more just price-related and share-related?
Louie Camilleri: No. Because, as I said, I think the taxes are moving all in the right direction as a result of the EU tax directive. I think it’s just competitive moves, Chris, of certain companies repositioning brands in the lower price segments because of the economic weakness at the moment and the high unemployment levels. This is not something that is too dramatic. It just affects the competitive profiles out there.
Chris Growe – Stifel Nicolaus: Sure. Okay. And then I wanted to ask just one more follow-up on Japan. Just to understand like your inventory levels in that market, is there any sort of rebuilding that needs to occur? Can you give a little better feel kind of how much inventory levels have come down in general in that market?
Louie Camilleri: Well, we’ve obviously reduced our inventories at year-end to align them with what we believe to be the running rate going forward. Now, as I said, the indication since October, although they are very difficult to read given both the trade loading as well as consumer loading, but nevertheless the indications are that volume is holding better than we had originally anticipated, so clearly, there could be benefit there in terms of volumes. If we have a run rate in volume that’s better than we had anticipated that may entail an adjustment in our inventories, but they’re all sort of positives as opposed to negatives.
Chris Growe – Stifel Nicolaus: Sure. And then just one final question for you. I just want to put in context the $250 million of cost savings and just understand would that fully offset what you see is some of your packaging and general cost inflation in ‘11 or would it fall short of that?
Louie Camilleri: No, wouldn’t fully offset it. We will still be hit this year with the least price increases that took place in 2008 because of the length of our leaf inventory durations they hit the P&L later. So this year our leaf price or leaf cost, I should say, relative to 2010 is about the same increment, as we saw in 2010. That should get better in 2012 going forward, because as we’ve said before, the supply-demand balance in terms of leaf tobacco has improved, and we’d anticipate that leaf tobacco prices will essentially be in line with inflation going forward.
Chris Growe – Stifel Nicolaus: That’s very helpful. Thank you.
Louie Camilleri: You’re welcome.
Operator: Your next question comes from Jon Leinster of UBS.
Jon Leinster – UBS: Good afternoon, gentlemen. A couple of things. First of all, with regards to sort of the new Marlboro architecture, is that now being fully rolled out to your satisfaction, or are we actually sort of seeing the annualization of some of the results in many of these markets now?
Louie Camilleri: I mean it clearly is being deployed in numerous markets, but we’re still not there. There is still a lot to be done and there is still quite some exciting innovations to come. I think as I mentioned in my remarks, you have to look at the consumer research we do in the demographic profile of the brand, and it has improved significantly. I mean we can see the trends. For example, we have seen significant turnarounds in the demographic profile of the brands in places as varied as Italy, Japan, France, Spain, Switzerland, Netherlands and the list goes on. So we’re seeing improvements in the brands equity and demographics, and we still have quite a lot to do with the brand.
Jon Leinster – UBS: All right. Slight different track there. You’re clearly hoping that Turkey will settle down now that you’ve annualized the big tax increase from January last year. Would you expect similar things to occur in U.K. and Romania and some of the other markets that were hit or are those markets being going to suffer sort of consistent increases in illicit trades and then is it driven by different dynamics?
Louie Camilleri: I think you’re right in terms of annualization things should get better. The watch out is the illicit trade, which is affecting all three countries that you mentioned. The problem is when illicit trade takes off, it’s very hard to curtail. Canada has been an example, where they have started attacking the smuggled product with some success. Legitimate consumption or shipments were up close to 10% in Canada last year solely due primarily to Ontario taking severe measures again illicit product. But Quebec is still relatively weak. So we hope that that will continue. We should see improvements, Jonathan, but my concern is the illicit trade.
Jon Leinster – UBS: Right. And lastly, just in Indonesia, which is, obviously, often we get limited information on this. It still seems they are quite price sensitive. Is that something you hope you will trade up in the following year since cost price is not giving the economics of the country, but it hasn’t improved a bit quicker?
Louie Camilleri: I’d say that it’s being pretty solid. Consumption is up about 4% despite pricing that has been ahead of inflation across the board. What you see is that, when you pass certain threshold stick prices in particular and packed prices, there is a temporary slowdown in the brands performance. There has been a new excise tax decree that came out, which clearly is manageable, excise tax increases were essentially in line with inflation. The disappointment was that we had hoped that there would be a compression in the various tiers, that hasn’t quite happened as much as we had hoped, but that hopefully will happen going forward. But importantly, I think the government is more and more focused on the various loopholes about certain manufacturers are using to get excise tax benefits. So, to the extent that those loopholes are closed then I think you’ll see a more pronounced shift in what you’re discussing in terms of the up trading.
Jon Leinster – UBS: And you would expect some focus on that during 2011?
Louie Camilleri: Hopefully, over the 2011, 2012 period; probably more 2012.
Jon Leinster – UBS: Okay, great. Thank you very much.
Louie Camilleri: Thank you.
Operator: Your next question comes from Adam Spielman of Citigroup.
Adam Spielman – Citigroup: Good afternoon. If I can follow up on Christine’s question very quickly, you said the pricing variance would be higher in 2011 than 2010, in your underlying assumptions for the earnings guidance, if you strip out Japan, how does the pricing variance look in 2011 according to your model?
Louie Camilleri: That would still be higher.
Adam Spielman – Citigroup: Are you able to say geographically, would it…?
Louie Camilleri: I’m not sure I understand your question.
Adam Spielman – Citigroup: Well, you see, clearly, the pricing variance in Japan is very positive or will be very positive in 2011. I suppose what I am trying to do is get a feeling for the rest of the world.
Louie Camilleri: Well, the rest of the world will still be above 2010. So the increment in pricing in 2011 versus 2010 is not solely due to Japan, is that clear?
Adam Spielman – Citigroup: Yes, absolutely, it’s clear. I guess the question is, excluding Japan, is the increment in 2011 versus 2010 more or less than it will be 2010 versus 2009?
Louie Camilleri: More.
Adam Spielman – Citigroup: Is it not true in each of your four regions?
Louie Camilleri: I’d say that pretty well, yes. I mean I’m not going to go region by region because it’s a subject that’s rather delicate, but the global pricing ex-Japan would still be higher in 2011 versus 2010 as it was 2010 versus 2009.
Adam Spielman – Citigroup: Thank you very much.
Louie Camilleri: You’re welcome, Adam.
Operator: Your next question comes from Erik Bloomquist of Berenberg Bank.
Erik Bloomquist – Berenberg Bank: Good afternoon.
Louie Camilleri: Erik, good afternoon.
Erik Bloomquist – Berenberg Bank: Thank you. I was hoping you could update us on the outlook for Russia. I mean you talked about markets where there’s been weakness, but it appears that the Russian market is improving and I was wondering if you could comment both on volumes, but also then on the outlook for pricing and up trading?
Louie Camilleri: Well, obviously, the Russian economy is doing a lot better, driven by the oil price. We have significantly revamped and strengthened our organization there. We’re gaining share. There has been quite a significant price increase I believe you are aware. There has been the usual skirmish of people delaying pricing and repositioning certain brands. But I think we’re quite confident that we’ll have a good year in Russia in 2011 as it was in 2010 where income was up double-digit.
Erik Bloomquist – Berenberg Bank: Okay. Super. And then with respect to Japan, not to belabor the point, is it fair to think about the incremental pricing benefit around $500 million in 2011?
Louie Camilleri: No. That’s pushing the envelope. I think that’s more like the full annualization of the pricing. I think your number includes the pricing in the fourth-quarter.
Erik Bloomquist – Berenberg Bank: And then lastly, could you update us on the status of plain packaging in Australia? And then also your view on the plain packaging discussions underway in the UK and European Union?
Louie Camilleri: Yes. It appears that the Australian government remains intent on pursuing legislation calling for plain packaging. We’ll see what happens. My guess is we’ll know a lot more by this summer, but there certainly seems to be a strong intent to pursue it. It sort of defies logic, because I don’t think that it will affect consumption levels in any way. Furthermore, the big concern is illicit trade, which since the tax increase last summer illicit trade has increased by 25% in Australia. So, I’m hopeful that the government is looking at that very closely, because plain packaging will certainly not address that issue and will not address smoking incidence or smoking prevalence. The U.K., I said that, they would study it, but that they would have to have clear unequivocal evidence that it would in fact address smoking prevalence or incidence and that they would have to look at very carefully. Legal ramifications of such a measure with regard to constitutional issues as well as IP issues also related to trade issues in the trade agreements and the intellectual property protection that comes with those trade agreements, so, the UK is looking at it very sensibly. In the EU, DG SANCO, the Health Commission as it were, has started a revision of the tobacco product directive, and is looking at host slew of measures. That’s probably a three-year to five-year process. But as I said, I think plain packaging doesn’t make any sense and we’ll fight plain packaging in every way possible. Does that address your question?
Erik Bloomquist – Berenberg Bank: Yes, that’s extraordinarily helpful. One last one on the Swedish Match joint venture, has that joint venture launched in another region aside from Asia and Taiwan at this point?
Louie Camilleri: No. We’ve launched in Taiwan and we have the intention of launching in at least two other markets this year.
Erik Bloomquist – Berenberg Bank: Great, thank you.
Louie Camilleri: You’re welcome.
Operator: Your next question comes from David Hayes of Nomura.
David Hayes – Nomura: Good evening, gentlemen. Hi. Three if I can, just on the cost save which you’re obviously giving on a sort of one-year forward basis. I mean should we be thinking about ongoing $250 million on a medium term basis? I’m just trying to get a feel for whether we should get it as ongoing medium-term plan, whether it’s very one-year specific and then kind of stops? Second, just in terms of the shape of the volumes in the fourth-quarter. I just want to make sure my math is right. So, of the 5% volume decline organic, about 3 percentage points of that’s Japan I’m guessing (inaudible) right. And then just in Mexico loading into the channels, wonder what impact that would have, or was that was fairly negligible? And finally, just in terms of sort of regulation plain packaging kind of follow on, in Uruguay, I just wondered whether you can update us on where we’re with that legal action in terms of potentially to what particular timing of an outcome of that and what sort of precedent that might set elsewhere? Thanks very much.
Louie Camilleri: On your $250 million productivity target, we’ve decided that we’d do an annual target rather than three-year or five-year target because we want it to be a bit more specific than just to give a general target. I can’t tell you what the cost saving will be in 2012, but clearly, we’re very committed to remain best-in-class in terms of cost efficiency, and we’re very focused on that as you saw in our Investor Day. So, I am hopeful that the $250 million this year will find more in the years to come, but the $250 million is specifically related to 2011. Uruguay, I don’t have much news to offer you other than the litigation is most likely will continue. We believe that we have the stronger of the case and we’ll see where that leads to. Your third question, I am sorry, David...
David Hayes – Nomura: Just on the shape of the volumes in the fourth-quarter. So I am just working out, I was wondering so much with Japan numbers if I am right. Is that 3 percentage points of the 5% organic decline is due to Japan and then I just wondered whether Mexico was a benefit and was that quantifiable?
Louie Camilleri: Yes, Mexico was certainly a benefit, it was marginal. If I recall, it is 0.3%, 0.35% something like that. Yes, I’d say that if I took Japan and Ukraine in particular, they were the lion’s share of the decline, some 70%, if I recall.
David Hayes – Nomura: Thank you.
Louie Camilleri: You’re welcome.
Operator: Your next question comes from Rogerio Fujimori of Credit Suisse.
Rogerio Fujimori – Credit Suisse: My question has been answered. Thank you.
Louie Camilleri: Thank you.
Operator: Your next question comes from Ann Gurkin of Davenport.
Ann Gurkin – Davenport: Good afternoon.
Louie Camilleri: Hi, Ann.
Ann Gurkin – Davenport: Louie, I just want to ask, what is your volume performance expectation for the overall EU market in 2011?
Louie Camilleri: I’m not sure we’re going to disclose that number, Ann. I’m hopeful that it clearly will be better than it was in 2010. Beyond that I’m not going to give a specific number.
Ann Gurkin – Davenport: Okay. And then my second question, have you finalized all decisions and contracts related to all IP needs for the EU for 2011?
Louie Camilleri: Yes, we have.
Ann Gurkin – Davenport: Great, that’s all I have. Thanks.
Louie Camilleri: Thank you very much.
Operator: At this time, there are no further questions. I’ll now turn it back to Mr. Rolli for closing remarks.
Nick Rolli: Well, thank you for joining us. That concludes our call today. If you do have any follow-up questions, please contact the Investor Relations team here in New York this week. We’ll also be here next week. We will be making a webcast presentation at the CAGNY Conference, the Consumer Analyst Group of New York Conference in Boca Raton, Florida on Wednesday, February 23, and look forward to seeing many of you there as well. Thank you again, and have a great day.
Operator: Thank you for participating in today’s conference. You may now disconnect.